Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good morning and welcome to the UMB Financial Fourth Quarter 2021 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. 00:35 I would now like to turn the conference over to Kay Gregory of Investor Relations. Please go ahead.
Kay Gregory: 00:43 Good morning and welcome to our fourth quarter and full-year 2021 call. Mariner Kemper, President and CEO; and Ram Shankar, CFO, will share a few comments about our results. And Jim Rine, CEO of UMB Bank; and Tom Terry, Chief Credit Officer, will be available for the question-and-answer session. 01:01 Before we begin, let me remind you that today's presentation contains forward-looking statements, which are subject to assumptions, risks, and uncertainties. These risks are included in our SEC filings and are summarized on Slide 42 of our presentation. Actual results may differ from those set forth in forward-looking statement, which speak only as of today. 01:23 We undertake no obligation to update them except to the extent required by securities laws. All earnings per share metrics discussed on this call are on a diluted share basis. Our presentation materials and press release are available online at investorrelations.umb.com. 01:41 Now, I'll turn the call over to Mariner Kemper.
Mariner Kemper: 01:45 Thank you, Kay and thanks everyone for joining us today. In 2021, we delivered solid operating and financial results with strong growth on both sides of the balance sheet, steady asset quality metrics and continued momentum in our fee businesses. When many others in our industry struggled to generate meaningful loan growth, we delivered 12.3% increase in average loans in 2021, excluding PPP, largely through market share gains. 02:10 We’re positioned to benefit from the anticipated economic expansion, higher interest rates and continued investments we’re making. In 2022, while others are predicting growth based on a better economic environment, we are confident that we will continue to garner more than our fair share of that growth. 02:27 There were a few factors that had outsized impacts on our results in the fourth quarter and the full-year. We had higher than typical operating expenses, largely driven by higher incentive compensation for the strong business performance we experienced, along with additional charitable contributions in the quarter. 02:44 Additionally, we saw some variances in software cost and legal and consulting expenses related to timing of our business investments. We estimate that approximately 10 million of the linked quarter increase and expenses was variable in nature and attributed to timing of spend. Many of these incremental expenses should reset lower in the first quarter. 03:07 As we’ve discussed before, we remain focused on delivering positive operating leverage across all environments, while we continue to invest prudently in our people and platforms. On the revenue side, in 2020, the gain on our investment in Tattooed Chef and ongoing market related adjustments impacted year-over-year comparisons. Ram, will share more detail on the various drivers shortly, but we expect to generate positive operating leverage in 2022, excluding the impact of PPP, with or without the benefit of higher interest rates. 03:43 Turning to our fourth quarter results, net income for the quarter was 78.5 million or $1.61 per share. Pre-tax, pre-provision income on an FTE basis was 113.4 million or $2.32 per share. Fourth quarter net interest income was 210.6 million and was relatively flat compared to the third quarter, and we saw positive contributions on the fee income side. 04:11 Fund services total assets on administration have grown a nearly 25% from year end 2020 to stand at an impressive 419 billion. Custody Assets crossed 150 billion threshold driven by organic growth. In Specialty Trust & Agency Solutions, we saw a 149% increase in new business in 2021. And our teams continue to garner industry recognition for service and innovative products. 04:39 In Private Wealth, new asset sales for 2021 increased 17% over the prior year, and we continue to build-out and strengthen our family office offering. I'm looking forward to further momentum as we continue to invest in this business. You'll see more detail in the line of business updates in the presentation. 04:58 Moving to the balance sheet, Slide 24 is a snapshot of our loan portfolio showing the drivers behind the loan growth I mentioned. Average loans for the fourth quarter, excluding PPP balances increased nearly 13% year-over-year and nearly 6% on a linked quarter annualized basis. Asset quality remains strong with net charge-offs of 19 basis points for the quarter and 27 basis points for the full-year, consistent with our outlook and our historical averages. 05:28 Average C&I loans increased 12% on a linked quarter annualized basis as we continue to deepen penetration in our markets. Most of our commercial clients are reporting strong pipelines and backlogs across most industries. In general, these are more positive feelings about the direction of 2022, while customers are keeping an eye on supply chain and labor issues impacting so many businesses. And clients have expressed more interests, lately in expansion, both organic and through acquisition. 06:00 In our commercial real estate and construction portfolios, average balances were impacted by payoffs and by typical cycles as completed projects are converted to term loans sold or refinanced in the secondary market. Average residential mortgage balances grew 6.5% from the third quarter, an annualized increase of nearly 26%. Funded mortgage loans for the quarter were 200, including 55 million in the secondary market. In 2021, we saw a 70% increase in secondary market mortgages, compared to 2020. 06:35 Total top line loan production as shown on Slide 25 was very strong coming in at 1.4 billion for the quarter, a record level for us. Payoffs and paydowns were 5.6% of loans in-line with prior quarter. Many of our recent payoffs have been tied to merger and acquisition activity. 06:54 More clients have been taking advantage of attractive multiples, often partnering with private equity firms and family offices. At the same time, we continue to see financing opportunities coming from some of these same PE firms and family offices. While estimating payoffs can be unpredictable, we continue to see a robust pipeline with opportunities across all verticals in the first quarter. 07:17 Finally, early in January, we pursued and executed the sale of our small acquired factoring portfolio to an alternative financing company. Ram will discuss the financial impact of the sale of our factoring portfolio in his prepared remarks. 07:33 Overall, 2021 was a solid year. Like all of us, I'm hopeful we're nearing the final phase of this pandemic, but no matter what issues we may navigate, I'm proud of our team and the resilience they’ve shown in serving our customers and keeping UMB moving forward. We're excited for the opportunities we see ahead of us in 2022. 07:54 Now, I'll turn it over to Ram for some additional comments. Ram?
Ram Shankar: 08:01 Thank you, Mariner. Net interest income was relatively flat, compared to the third quarter at 210.6 million as the benefit from solid balance sheet growth was partially offset by changes in asset mix, lower earning asset yields, and reduction in PPP income. 08:16 We amortized $5.4 million of PPP origination fees into income and the overall PPP contribution to the fourth quarter net interest income was $6 million, compared to $10.1 million last quarter. 08:30 At quarter end, our PPP balances stood at 136 million, down from 318 million at September 30. Approximately 3.8 million in unamortized fees remained at the end of the year. 08:44 Average earning asset yields decreased 16 basis points to 2.49%, due to asset mix changes, including increased liquidity and a $297 million decline in average PPP balances. For the full-year 2021, our factoring portfolio provided approximately 14 million in revenue and had about $10 million in associated costs, so the pre-tax, pre-provision income impact was approximately 4 million. 09:12 Fourth quarter reported net interest margin fell 15 basis points from the third quarter to 2.37%, driven by additional build-up in liquidity levels, lower reinvestment rates, and core loan mix and repricing. The build-up of excess liquidity accounted for approximately 10 basis points of the linked-quarter contraction. 09:33 For full-year 2021, NIM was 2.50%. As shown on Slide 21, our Fed account, reverse repo and cash balances now comprised 19% of average earning assets, compared to 16% last quarter and just 9% in the fourth quarter of 2020 with a blended yield of 26 basis points. 09:56 Based on our current expectations for two to three rate hikes in 2022, deposit made us consistent with our experience during the last rate cycle and improved reinvestment rates on our cash flows we expect that our reported net interest margin has bottomed out and will likely improve from fourth quarter levels, generally in-line with the current consensus estimate of 2.4%. 10:20 While the volatility from PPP loans have subsided, our net interest margin and net interest income will continue to be impacted by excess liquidity levels. Our provision for credit losses for the quarter was 8.5 million, driven almost entirely by our strong loan growth. Excluding PPP loans, our end of period loans increased approximately 900 million from September 30. 10:44 Our allowance to loans, excluding PPP balances is 1.14%, compared to 1.20% at September 30. Non-interest income for the fourth quarter was 118.8 million, an increase of 10.9 million from the third quarter. Market fluctuations drove a 3.3 million positive variance in the value of our equity investments. We currently have approximately 760,000 shares remaining in our Tattooed Chef position. 11:16 Derivative income increased 3.2 million from the prior quarter, and deposit service charges increased 1.7 million on a linked quarter basis, largely related to client conversion fees in our healthcare business and corporate service charges. I will note that just about 10% of our deposit service charge line item is related to retail activity. 11:39 Other drivers to fee income, including growth in both trust and securities processing and bond trading income are shown on Slide 22. Non-interest expense trends are shown on Slide 23. Expense levels for the fourth quarter were above our typical run rate and included a linked quarter increase of 7.3 million in salaries and bonus expense, driven by higher expenses related to business growth and positive business performance. 12:07 Legal and consulting, as well as marketing spend was higher in the fourth quarter and pertain to the timing of such spend. Software and processing costs increased over the prior quarter and were driven by the implementation of our new and improved private wealth management platform. 12:24 And as Mariner mentioned, we increased our charitable giving in 2021 and in the fourth quarter, the other expense line included a $2.1 million linked quarter increase in contributions. These year-end gifts to organizations in our markets that support housing needs, small business efforts and education pushed our giving about the $6 million mark for the full-year 2021. 12:50 Looking ahead, I'll reiterate that we expect to generate positive operating leverage in 2022, excluding the impact of PPP with or without the benefit of higher interest rates. Our effective tax rate was 20.2% for the fourth quarter and 17.7% for the full-year 2021. For the full-year 2022, we anticipate to approximate 17% to 19%. 13:17 That concludes our prepared remarks, and I'll now turn it back over to the operator to begin the Q&A portion of the call.
Operator: 13:25 We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Jared Shaw of Wells Fargo Securities. Please go ahead.
Jared Shaw: 14:04 Hi, good morning everybody.
Mariner Kemper: 14:06 Good morning, Jared.
Jared Shaw: 14:08 Maybe [just any] [ph], Ram, you've said on the margin, 2.4%, was that for full-year 2022 or is that for first quarter?
Ram Shankar: 14:20 That's a full year number. That what consensus has it. So, when I gave guidance relative to the consensus for 2022. Obviously a lot of factors, Jared, will impact the outlook for margin as I said, you know [Technical Difficulty] see Slide 21, you can see how that has grown just both in magnitude and as a proportion of our earning assets. So, a lot of factors will play into margin, but at this point based on our outlook for rates, 240-ish [indiscernible].
Jared Shaw: 14:50 Okay, all right. And then, it's great to see the loan growth this quarter. Can you give a little color on what you're seeing with the C&I utilization rates? And then looking at going forward, as those begin to normalize what type of benefit could you get from just a more normal utilization rate? And then the impact, the expected impact of paydowns over the next few quarters, do you think that that moderates?
Mariner Kemper: 15:19 Yes. Hey, Jared, it’s Mariner. I would say that utilization rates, they pop around quite a bit within one or two points one-way or the other, particularly during COVID. This is the period we're in, it’s kind of hard to really tell where it should be settling out. 15:41 From third quarter to fourth quarter [of 2020] [ph] for example it went the other way, and this quarter – these last two quarters, it went up slightly. So, I think this pandemic period is kind of hard to just come up with an adjusted number. So, it's been kind of [bouncing] [ph] around. So, I hesitate to give you what that normalized number should be right now. 16:08 Pre-covid things were bumping around 30%, you know our utilization rate is really around 30%. So, you do with that what you will, but on loan growth and payoffs and paydowns, as we have the historically we've given you a good look into the next quarter, we try not to do too much guidance beyond the coming quarter. And as really it is the pipeline for the coming quarter, it looks the strongest as it has been looking. 16:42 And I would say that fourth quarter 2021 was the best gross production quarter we've had at almost 1.4 billion in gross production. So, we're pretty [pumped] [ph] about the trajectory and the successes we’re having there. As far as payoffs and paydowns go, I think we're running in the 5% range right now, high-5s in the fourth quarter. 17:11 I think as long as rates are low, as they have been, that's going to push cap rates low and the secondary market opportunities will remain strong, obviously, we're all predicting rates to come up, that should moderate. I think that should moderate the payoffs and paydowns over 2022 as rates come up. 17:40 We'll have to see, you know, rates coming up, they're still going to be at all-time lows. I think the market is going to still be very strong even with rates coming up, but it should certainly moderate sales and paydowns.
Jared Shaw: 17:53 Okay. Thanks. And maybe just final one for me. When we look at the 10 million of expenses that you called out, sort quarter-over-quarter as we go into first quarter, can you give us a little color on what could potentially be staying around what some of the puts and takes are, should we expect that – most of that 10 million is able to roll-off?
Mariner Kemper: 18:15 Well, the way we're thinking about that 10 million is related, a good majority of that was related to production. And so, if we continue to have very strong production, you will see, you would theoretically see more bonus and commission compensation. Certainly, the charitable contributions were elevated based on our success last year. So, I guess, again, if we were towards the end of the year, if we're having great success, we would consider giving back to our community in an elevated level like we did last year.
Jared Shaw: 18:56 Okay. Thank you.
Mariner Kemper: 18:58 I would add Jared on the loan growth front. I think really what happened in the fourth quarter storyline was is, actually a little muted because of the payoff activity at the end of the third quarter. So, I think our actual growth story in the fourth quarter is better than it looks based on end-of-period loans versus of what the averages were because of the starting point from the elevated payoff levels at the end of the third quarter.
Jared Shaw: 19:31 Great. Thanks.
Operator: 19:35 The next question comes from Nathan Race of Piper Sandler. Please go ahead.
Nathan Race: 19:41 Yes. Hi everyone. Good morning.
Ram Shankar: 19:43 Good morning, Nathan.
Nathan Race: 19:45 Question on deposits, obviously really significant end-of period deposit growth. So, just curious, do you expect those deposits to largely remain on balance sheet as we start this year, and just – any kind of updated thoughts on just the [stickiness] [ph] of the massive deposit inflows as you guys have seen, which obviously can provide significant benefit as the Fed raises short-term rates with all the liquidity that you guys still have [with that?] [ph]
Mariner Kemper: 20:18 Sure. I’d say, it's a story of many points here, right. I mean, you've got what's happened over the pandemic and all of the stimulus money that's come in. And that's one we’re all, all of us as an industry and analyst community are trying to figure out how long that's sticks around. So that's a part of it. Then for us specifically in the fourth quarter on into the first quarter, as you’re well aware, we build some public fund dollars and some large institutional dollars, kind of year-end activity dollars, if you will, and that will lead out over the first quarter. 20:57 We don't know exactly how far down I [believe is out] [ph], but if the history is a good judge, could be 600 million or so over the first quarter on the public fund side that would roll back out.
Ram Shankar: 21:13 Nathan, this is Ram, I would say, for us, like we’ve said in the past, right, I would not focus on end-of-period balances both on the loan side and the deposit side, particularly on the deposit side. If you look at between September 30 and December 31, our deposit balances in the period increased by 4.5 billion, a lot of it is attributed to what Mariner has said between public funds and some institutional. So, we have seen some receiving of those deposits. So, I would focus more on the average side just because, again, depending on which day the year ends or the quarter ends, we could see in-flow of deposits.
Mariner Kemper: 21:46 On the loan side, we did have very strong generation activity in the fourth quarter. So, that, as I said in my previous comment, the average deal in that case is a little misleading to the upside positive for us, which is the opposite of the story for the deposits.
Nathan Race: 22:11 Understood. And within that context, just thinking about the likely upward increases in deposit costs as the Fed [[releases] [ph] short-term rates, Ram, can you just remind us in terms of where the index deposit balances stand on average balance basis in the fourth quarter and just general expectations for how your deposit is are likely to [traject] [ph] over the next several quarters, relative to what we saw during the previous – that cycle between 2015 and 2018?
Ram Shankar: 22:42 Yes. In our interest rate analysis that you'll see in our 10-K, we assume deposit betas that are consistent with what happened last time. So, I think last time we had a 225 basis point increase in short-term rates and our betas over that period came to about 45% or 48%. So, at least from that standpoint, we're assuming very similar beta experience, obviously, with the excess liquidity in the system there’s an argument to be made that is time around, we can slow down those deposit cost increases potentially depending on what the market does and competition does. 23:16 And then on your first question, about 35% of our funding is indexed to some short-term interest rate.
Nathan Race: 23:23 And that's a little higher than what we saw, maybe three years or so ago. I think it was close to 20%, 25%, is that correct Ram?
Ram Shankar: 23:32 Slightly higher than the last cycle when we left the last cycle, correct.
Nathan Race: 23:36 Okay. Great. And then just maybe changing gears one last one for me, institutional banking revenue segment, particularly on services posted really impressive revenue growth year-over-year, fund services in particular close to 30% year-over-year growth in 2021, I guess is that growth rate sustainable into this year and I guess how are you guys going to look at the various dynamics within the institutional banking as you guys, kind of forecast that revenue line for 2022?
Mariner Kemper: 24:07 Yes. I'll take the beginning here and if Jim wants to add on, he can. The story is similar to what we've been saying in the last handful of quarters, which is, there's been a lot of disruption in the fund servicing markets. A lot of [PEE] [ph] driven acquisitions and mergers in that space, and that has put a lot of players on sidelines and caused a lot of disruption in service and we have just benefited handsomely from that and that story just continues. 24:37 I think that's really what I would say about that. On top of just the market dynamics of private equity and alternatives as an alternative to the public markets continues to be just a various strong shift. I think I'd call a permanent shift in, kind of the market dynamics, which is really where we play and we're not really a big public [equities shop] [ph]. It's not a big [indiscernible], we’re doing more on the private equity and the alternative side and that really bodes well for us, I think long-term. 25:14 That's what I'd say, high level. Jim, do you have anything more to that?
James Rine: 25:15 No, I think you know that we continue to differentiate ourselves on service and the results are proof that our model is working.
Nathan Race: 25:27 That's great.
Mariner Kemper: 25:27 And then on the rest of the businesses, kind of similar story. It seems the investments we've been making in people and technologies are really paying off 17% growth in our wealth business, we haven't seen a year like that and sometimes the investments we've been making in people got a really great leader there. 25:48 And having 17% growth in new client assets is really tremendous for us. We're really excited about that development. And the family office, I think is a big part of that. I think the offering and the technology we've invested in there is really driving and helping that whole business. Corporate trust, man, that business is on fire. 26:12 We went on the Nielsen lead tables, we went from number 5, and number 3 in volume. We've been number 3 for some time now in number of issues, but we went from 5 to 3 in dollar volumes, and so we've really been gaining share there, which is great because to be growing that business environment where the government isn't really spending the way they normally are. 26:39 We'll continue to take a share. So, when that stimulus money does come and the government starts spending on local basis, and redoing highway roads, sewer systems, sidewalks, all those kind of things when that starts flowing again. We're poised to really take our share there. 26:57 Additionally, as you look forward, as we’ve talked before, 12b-1 fees have been zeroed out for us looking backwards because the rate environment doesn't take much rate movement looking forward for us to pick-up 12b-1 fees. Jim, you might talk about [indiscernible]?
James Rine: 27:14 Well, so in 2019, our 12b-1 income in brokers and mutual fund income was approximately 31 million and 2022 [or after] [ph] 150 basis points in rate cuts, we were sitting right at around $12 million. So, it usually takes two months to three months after we see an increase in rates for us to see any additional increases in those fees, but we'll see a benefit in 2022, but you should expect to see significant increases assuming we get the rate increases in 2023.
Mariner Kemper: 27:55 So we're very excited. So, the profile for that business is very strong along with the newer business that we have and the aviation trust business, which is really poised. Again, that's doing well and this environment will do even better when people are traveling and the world normalizes again. 28:12 So, really the profile across the board for institutional and our fee business is very strong with our card business led by our commercial card, we’re very excited about the prospects of that again. The similar reasons that corporate spending picks up again looking forward, we said at 3.7 billion spend at the end of the fourth quarter, again in a muted environment, so that represents some tailwind for us. And then lastly, I know you didn’t ask this, [but you would] [ph] think about the overall fee picture for us. 28:45 On a relative basis, we're pretty excited about how we are positioned in a rate environment to not have to suffer the changes that will come from the mortgage business reducing on our – within the industry. We don't have a big mortgage business. So, we don't stand to lose that. So, our profile going forward remains as strong as it has been without having to deal with the downside pressures of a rate environment increasing.
Nathan Race: 29:19 Got it. That’s really great color. And just to clarify, Jim, on the 12b-1 fees, is it roughly like half of – is it roughly like $500,000 in terms of the quarterly benefit you guys will see after each Fed rate hike?
Ram Shankar : 29:38 That's too specific – hey, this is Ram, this is kind of very specific. I mean, again as Jim said, the timing of it and we have multiple funds of clients and not all of them have the same cycle said to be able to sit here and say what every 25 basis points might mean. It's tough to predict it for 2022. On a full-year run rate basis in 2023 as Jim said, that's where you’ll see the biggest hockey stick. 30:01 2022, you we certainly see it dribble in – when the rates go up, when the funds give those benefits back to us, so it’s really hard sitting here just to…
James Rine: 30:13 Yeah. The idea was just to give you a little color on what it looked like before at 31 million, and by the way, that 31 million was based on the amount of business we had in 2019 versus the amount of business we have – the clients we have going into 2022 and going into 2023. So, we've got more clients and more customers. So, that kind of would bode well for the overall volumes. So, it's hard to really tell what it will be though we can tell you what it was ready two years ago, which is the idea.
Nathan Race: 30:46 Got it. I really appreciate all the color guys. I will step back. Thanks again.
Ram Shankar: 30:52 Sure, Nathan.
Operator: 30:56 [Operator Instructions] And our next question will come from Chris McGratty of KBW. Please go ahead.
Ram Shankar: 31:16 Chris, you there?
Chris McGratty: 31:19 Yeah. Sorry about that. I was on mute. Hey, Ram. Question on the rate sensitivity, I think in your Q, you show modestly asset sensitive, but not, I think it understands it. And I'm interested in the view on, can you just remind us, what percent of loans were priced within the year, the floors, any estimate to what NII would benefit like a ballpark for each quarter hike?
Mariner Kemper: 31:46 [Indiscernible] So, 55% of our total loans are variable in nature, and then about 10% of our total loans have floors on them, but it really takes anywhere between 25 basis point and 50 basis point rate moves for those to be truly variable. So that's on the loan side of the equation. So, you're right. Our 10-Q disclosures have a very static approach. So, there's no growth in balance sheet and one of the thing that missed in that analysis is what happens to our growth related to net interest income. 32:17 So, obviously, you saw that we had 12% loan growth this past year. So, that's not included in the analysis, and not nor any rotation from the Fed account balances today that are earning 15 basis points into loans are investment securities. So, it's a very [static] [ph] we are looking at it. The best way I can point to you, Chris is, so, if you look at our disclosures for 100 basis point move on a [$800 million plus] [ph], net interest income run rate, we expect 1% benefit in the first year and 6% benefit in the second year. So, you can kind of do the math on what that means for every 25 basis point move.
Chris McGratty : 32:53 Okay. Okay. And on the index deposits, just given the structure of your balance sheet, I mean, what was the thought on retaining all these deposits versus remixing the balance sheet a little bit more aggressively?
Mariner Kemper: 33:11 Well, I mean there's a lot going on there. I mean some of those are contractual and some of them I would call are soft index in the sense that they're [bid accounts] [ph] and we can remove them if we need to etcetera. So, it’s kind of a mix – it's a mixed bag. 33:31 Most of our business is relationship based and would like to keep as much of it as possible and just worry more about what we do with the other categories on the balance sheet such as putting it to work in loans and what we do with the investments. So, we're – as we always have been, we're a little more willing maybe than others to take the pain to continue to build the company. 33:11 The value of this franchise is really in our deposits, and so we don't really like to play games for ratios. We want to build the business for the long haul.
Chris McGratty: 34:08 Okay. Thanks for that. I guess, I have two final ones. First is on your securities reinvestments, the rate you put money to work ticked up from [128 to 146] [ph], where are reinvestment yield opportunities today Ram?
Ram Shankar : 34:24 Yeah,. It depends on the duration really Chris. So, if I want stay short of three years, I can get [150] [ph], if I want to go a little longer close to six years, I could get [190] [ph] so the range of outcomes, again, we were talking about it live. Those are the options we're looking at in terms of trying to manage our duration, trying to manage our interest rate risk. 34:44 So, I would say, if you look at the next 12 months, I think the cash flow roll-off is at 180. Based on all current yields and based on where the tenures, we can get pretty close to that in terms of our reinvestment, again, depending on the mix that we do of duration.
Chris McGratty: 35:01 Yes. Perfect. And then finally the operating – I want to come back to the operating leverage comment, I think you said ex-PPP with and without rates, positive operating leverage. Could you just speak to just magnitude? If we do get the forward curve, it would seem like that would widen by a decent amount, but again, I'm not sure what the assumptions are to reinvest into the business?
Ram Shankar: 35:25 Well, we don't give specific guidance and we've been saying this for – Mariner has been saying this for a better part of three quarters, right, even before the rate cycle or what the Fed has done lately with. So, our budgeting process always assumes that we want to gain operating leverage. We have a lot of the investments going in the fee income side, and obviously, as you can see from the financial results, those are bearing fruit. 35:46 So, regardless of the environment, we want to be able to generate positive. And then the juice would really come if the rate environment changes dramatically if the Fed does 50 basis points for instance instead of 25 basis points or – there are four rate hikes in 2022. So, either way, I think we're well-positioned with or without the benefit of rates, just to give you a magnitude at this point. 36:07 Again, I go back to a lot of expenses as you saw in the fourth quarter tend to be variable in nature. So, we do well on the revenue side. Expenses can grow as well.
Mariner Kemper: 36:17 [Indiscernible] interest rate increases and as is the business generation.
Chris McGratty: 36:27 Okay. Thank you very much.
Ram Shankar: 36:29 Thanks, Chris.
Operator: 36:32 This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Mariner Kemper: 36:41 I think we covered it all. Thank you all for your interest and time and [Go Chiefs] [ph].
Kay Gregory: 36:49 This call will be up on the – the replay will be on our website shortly. If you have any questions, you can always contact Investor Relations at 816-860-7106. Thanks for joining us today.
Operator: 37:06 The conference is now concluded. Thank you for attending today's presentation, and you may now disconnect.